Operator: Hello, and welcome to the Aena First Half 2025 Results Presentation. [Operator Instructions] Now I would like to turn the call over to Carlos Gallego, Head of Investor Relations. The floor is yours.
Carlos Gallego: Thank you, Mark. Good afternoon, everyone, and welcome to our first half 2025 results presentation. This is Carlos Gallego speaking, Head of IR. It's a real pleasure being with all of you today. Our Chairman and Chief Executive Officer; Maurici Lucena, will host the call together with Ignacio Castejón, our CFO; and myself. We are going to cover the main topics explained in the results presentation, and we will finish with a Q&A session. Without further ado, I give the floor to Maurici Lucena. Thank you.
Maurici Lucena Betriu: Thank you very much, Carlos. Good afternoon, everybody, and thank you for joining us to go through our first half 2025 results presentation. I would like to start just saying that we are quite happy with the financial results. I think that they reflect that the company is functioning very well. And of course, I also would like to underline that we are also functioning very well operationally. I mean, from an operation standpoint because you know that now the traffic is -- it's a record levels. So it means that our operation is quite stressful. But I think that we are responding very, very well. Okay. I will -- as usual, I will go over the key highlights of the period. And afterwards, I will give the floor to our CFO, Ignacio Castejón, and as always, we'll conclude the conference call with a Q&A session. I will start with traffic. You know that globally, Aena Group passenger volume grew by 4.7% and year-on-year, reaching almost 181 million passengers. In Spain, the figure was 150.6 million passengers which represents a 4.5% increase. And I think that the important thing here is that despite the obvious deceleration of traffic growth in these last months, we are very confident with our traffic guidance for 2025. Of course, I'm now referring to Spain. So it means that we clearly maintain our traffic guidance for 2025, which you know is a growth of 3.4% year-on-year. This means that we are quite somewhen in the sense that we consider that the traffic will continue, let's say, performing satisfactorily if we can find other words -- but I would like to make this very clear that we stick to our traffic guidance that we made public, I think it was a in February a few months ago. Okay. At Luton, the traffic growth was or has been 5.1%. And in Brazil, [indiscernible] 5.7%; and BOAB 6.7% increase, which are, I would say, figures that confirm the good evolution, the good performance of traffic -- air traffic in the world. Of course, its country is a singular case, but in the countries where Aena is present we are quite satisfied with the traffic evolution. Now I move to the financial performance. Total revenue for the first half of 2025 reached EUR 3 billion, which is a beautiful figure. And this meant an increase of 9.1% year-on-year and the EBITDA rose by 8.8%. So the EBITDA margin stood at 56.5%. I would like that you take into account when you analyze our global EBITDA margin that, first of all, of course, it is flattish compared to the same period in 2024, but you should bear in mind the effect of the IFRIC 12 applicable to our Brazilian assets. It affects our EBITDA margin. So it means that without this effect, the EBITDA margin in Brazil and of course, globally would have been a little bit higher. All in all, this meant that the net profit for the first half of the year reached EUR 894 million with growth of 10.5%. You know because we've announced this morning that yesterday, the Board of Directors of Aena approved our tariff proposal to be applied from March next year, as usual. And let me be clear, despite of the usual [indiscernible] of the airlines, you know that the -- this increase, the increase we have proposed is very mathematic and it's due to principally the K factor and also significantly to the application of the index. The K factor, it simply reflects that we have a dilution that comes from 2024 and the formula of our regulation, it is very clear, you then recover this dilution in 2026. You know that in other cases, in other years, the effect has been the contrary. So that is why I'm saying that I cannot understand the [indiscernible] of the airlines. They know our rules and the regulation very well. And well, it's the kind of noise that I really don't like because for our part -- for Aena's part, this is an honest proposal that is not. I mean it's not discretional. It just comes from a very clear formula. Well, having said that, I move to the commercial activity. On commercial, total sales grew by 9.9%, more than twice the rate of passenger traffic growth and on a per passenger, which is a very important ratio basis, it means that it increased by 5.2%. Pure retail activities continue to perform strongly. And I would like simply to highlight the very good performance of VIP services and mobility services, they are really performing very well. And our ambition is that in relative terms, they grow in the future. This is what I'm sure will happen, and it means that it's a very promising business line. Regarding the tenders awarded in the first half of 2025 by Aena. In specialty shops, the minimum annual guaranteed rents in 2025 and 2026 are 50 -- excuse me, 25% and 35% respectively, higher than in 2024. And in the case of food and beverage, the tenders are awarded, they reflect growth rates of 8% and 17%, respectively. On Real Estate, I simply would like to highlight the opening of the Spain's largest hanger in Madrid and the awarding of the so-called 120 plot in Barcelona for logistic users. This just means that we have finally we have opened this new era in which we will try to strengthen our Real Estate business in the case of this very valuable assets that we have in our main airports. In the case of the International business, it has contributed with EUR 425 million to the consolidated revenue of Aena. If we exclude, again, the IFRIC effect, the contribution would have been or would be EUR 346 million. And the EBITDA amounted to EUR 196 million. Regarding CapEx, in the Spanish network, a total of EUR 427 million in additional investments for the rest of the DORA 2 period have been approved, of which purely EUR 351 million are regulated. So the rest is commercial, but you know that they are very, very linked to each other. And finally, we have published an important novelty this morning. We have restated annual accounts to increase the deferred tax asset by a considerable amount of EUR 288 million. This adjustment simply arises from a situation of double taxation related to the IPO of the 49% of Aena's shares back in 2015. But Ignacio Castejón will give you the concrete details shortly. And on the other hand, you know that on June 19, we successfully executed our promise of the stock split, and our aim is very simple, we want to improve the liquidity of Aena's shares. And well, we still need a wider horizon to assess the impact, what -- it is very clear that in no case, this could be a negative effect for Aena's shares. So in the future, we will share with you the results of our analysis. But we need still a little bit more of time. And as of June 13 -- 30, excuse me, our financial leverage stood at 1.64x net financial debt to EBITDA. And this ratio confirms what you know very well, which is the strong financial health of the company, both in absolute and relative terms. This is the end of my brief presentation, and we'll have time to interact in the Q&A session. And now I give the floor to Ignacio Castejón, Aena's CFO. Thank you very much.
Ignacio Castejón Hernández: Thank you very much, Maurici. Hello, everyone. This is Ignacio. I'll go through some further details relating to the traffic and financial performance of the company for the first 6 months of this year. If we move to Slide 6 on traffic, our Chairman and CEO already commented the evolution in Spain and across the group. Generally, as -- and looking more closely to the trends in Spain, international traffic grew by 6.5%, while the domestic traffic rose by [indiscernible]. Generally, the assumptions that we took into consideration when the guidance was developed has not materially changed. The slowdown in the domestic markets were already anticipated at that moment in time. As a result of these trends, the share of international traffic has risen from 67.5% to 68.8% from 2024 to 2025. European traffic accounted for 85.7% of the total international traffic, slightly below compared to the previous year. The reason for that is our outstanding performance of some small markets in long-haul destinations such as Africa and Asia, where we have seen growth of 49% and 25% year-on-year, respectively. If we look at our largest markets, the growth for the U.K. has been 4.5%; Germany, 3.6%; France, 5.3% and Italy stood out with a particular robust growth of 12%. In terms of airport performance across Spain, Madrid grew by 3%, Barcelona, 4.2%; Palma, 2.2%; Alicante, 10.3% and [indiscernible] 7.8%. Finally, regarding our carriers, our airlines the top 10 carriers handle nearly 109 million passengers, 3.9% more than in the first half of 2024, and low-cost traffic rose by 5.2%, led by [indiscernible] with [ 7.6% ] growth and Ryanair 6.3% growth. Let's move to the financial performance slides of the key highlights section. I'm referring to Slide 6, 7 and 8. If we look at Slide 6, total revenue, as mentioned by our Chairman, grew by 9.1% compared to the first half of 2024 year. Basically, what are the main reasons? The main reasons are the positive regulation evolution sorry, of passenger traffic, the regulated traffic growth for the months of January and February, the continued improvement in commercial activity and also the contribution from construction services income and revenues under IFRIC 12, which added an increase of a net increase -- sorry, of EUR 51 million. Excluding the IFRIC 12 effect, the revenue growth for the consolidated group would have been 7.3%. Basically, we go business by business. Ordinary [indiscernible] revenue increased by 6.2%, basically amounting to EUR 1.5 billion with a dilution for this -- being the dilution for this first 6 months of the year, EUR 43.7 million compared to the dilution of the previous year that was EUR 67.9 million. With respect to ordinary Commercial, Real Estate and International revenue. All these business segments grew double digits at 10.2%, 12.1% and 14.6%, respectively. So very healthy growth rates for all the business segments of the company, as the Chairman was highlighting at the beginning of his opening remarks. Let's go to Slide 7 on the cost side. Total operating expenses at group level grew by 9.3%, totaling EUR 1.3 billion, with personnel expenses or staff expenses increasing by 10.6%. The IFRIC 12 accounting rules also had an impact because we have to record not only the income, but also the expenses following that accounting rule. So we had also a negative impact in our expenses of EUR 51 million. Excluding this impact, the increases -- the increase, sorry, of our total operating expenses would have been 5.2%. When we look at Other operating expenses, they grew at 5.3%, reaching EUR 1,063 million. The increase was driven by personnel costs, as it was advancing earlier, reflecting higher payrolls, additional headcounts that the company is adding and also the restructuring of our variable retribution schemes. Also, explained by the performance of our electricity costs, maintenance costs, security services and also the increases in the OpEx related to the activities that we perform internally, on the Commercial side, such as VIP services and parking. In Slide 20 and 21, you will find a higher detail with respect to our other operating expenses. The growth of other operating expenses, excluding the electricity bill, was 2.9% below traffic growth. And on a per passenger basis declined by 1.5%. So very good performance on the cost side. Let's go to Slide 8, and let's have a look at EBITDA that reached EUR 1.7 billion, representing an increase of 8.8% compared to the same period of the previous year. If we exclude the effect of IFRIC 12, the EBITDA margin improved, improved to 58%, from 57.2% in the previous year. I will repeat myself, excluding the IFRIC 12 effect. All in all, net profit rose to EUR 893.8 million, and a double-digit increase of 10.5%, reflecting the solid performance and continued financial discipline of the company. Net cash generated from operating activities increased by 4.2%, confirming the group's capacity to generate cash. Please note that last year tax outflows were particularly low because of the application of the tax credits resulting from the Commercial losses coming from the DF7 that we're taking into account in the first half of 2024. Net financial debt-to-EBITDA ratio stood at 1.64% as mentioned by our Chairman, compared to 1.57% recorded in the previous year and recorded in the first half of 2024. In Slide 11, we have some information related to the restatement of our 2024 financial statements, as mentioned by Maurici. This is coming from the recognition of a deferred tax asset. This adjustment is related to a situation of double taxation related to the IPO of the company back in 2015, in more detail or specifically. At that moment in time, the company was unable to revalue the assets contributing by ENAIRE, our parent company at market value. So those assets were incorporated into Aena's balance side at book value, not at market value. And Aena, as a result of the IPO, had a capital gain that was taxed at the [indiscernible] level. As a result of that taxation as that potential lower taxation of the company, things that is entitled to recover that double taxation, and that's why we have recorded this asset, amounting to EUR 288 million, as mentioned by our Chairman. This amount will be gradually applied as the company files its corporate income tax returns in the future. Please note that we have already filed some tax applications for the period up to 2024. So hopefully, we should hear from the tax authorities in the next 6 to 9 months. Let's move forward to the Commercial business of the company. I'm referring to Slide 15. Ordinary Commercial and Real Estate revenue of the group, grew by 10.3% to EUR 990 million, excluding, sorry, the straight line and other adjustments, effects, the growth of the business was higher amounting to 12.5% to EUR 948 million. The fixed and variable rents had a year-on-year growth of 15.8%, a very high figure comparing to traffic, growth in the Spanish network. In Slide 17 and 18, we can go into further detail with respect to the commercial performance of Aena in Spain. As mentioned by our Chairman, the total commercial sales grew by circa 10%, doubling the traffic growth of the period. Generally, this growth was driven mainly by the progress in refurbishment and remodeling works in our commercial areas, especially in the Duty-free business in the Madrid and Barcelona Airport, but also in Palma, where we are making significant progress. The arrival of new brands that fit our passenger profile, the strong performance of mobility-related services and the continued increase in demand for VIP services, together with the progress, the successful progress of our Real Estate initiatives. If we look at the line by line of our Commercial activities or the most important lines, sorry, we'll see that, for example, in the case of the Duty-free businesses, sales grew by 18% and variable rents grew by 16.3% to EUR 182 million. We have seen that after the material progress in Palma [indiscernible] Airport, we have been able to deliver a growth in June, only in June of 11%, being the main reason behind this growth, the partial reopening of the walk-through store in that airport. We are also seeing important progress in the Canary Islands, where the contract, the lot for that part of the network exceeded the minimum [indiscernible] guarantee rents for this business line. And also, I would like to highlight that in the Mediterranean area, we were very close also to exceed the minimum [indiscernible] guarantee rents, and we were just 2.2% below the minimum guarantee rents. With respect to the other activities, I would like to highlight the continuing increase in the VIP services penetration rates and income per passenger, which confirmed the demand from our passengers with respect to this type of activity. With respect to car rental activity. We are not only seeing growth coming from the new contract, we are also seeing growth in activity coming from more contracts and higher prices being applied by our car rental operator. Let's move to Slide 22 where we can have a look at the debt breakdown of the company. We would like to share a message with all of you that our debt at fixed rate is 77%, which basically is protecting the -- has been protecting, sorry, the company from the movement in the -- coming from the monetary policy of central banks. Now that we are seeing some decrease we'll try to take -- to try to benefit from that situation, managing our debt accordingly. With respect to our International platform, I would like to stop to mention a couple of things related to Luton BOAB. With respect to Luton, you will have seen in our financial information shared with the market that we have recorded an extraordinary revenue related to the compensation that we have -- that we are entitled to receive from our insurance companies. that has amounted to around EUR 31 million. This compensation is positively contributing to our EBITDA and therefore, EBITDA in Luton is positively affected by this contribution. With respect to BOAB or BOAB in English. I would like to highlight the significant increase in CapEx spent in this asset. And this is the result of basically the company having awarded the construction contracts at the end of 2024, early 2025, and having the construction activity ramping up in these assets so that we can meet the deadlines, that [indiscernible] the concession agreement signed with the Brazilian authorities. And I think that would be all from my end. So we could continue with the Q&A as planned for this meeting. Thank you very much.
Operator: [Operator Instructions] And your first question comes from the line of Tobias with Berstein.
Unidentified Analyst: Just a question on traffic growth. Obviously, H1, 4.5% in the Spain network that would sort of [indiscernible] in H2 to hit your guidance of 3.4%. I was just wondering what you -- like what are your concerns? Do you see anything internationally, maybe a slow-down from certain regions, beyond your Spanish network beyond domestic Spain? And is there any chance of increasing the guide maybe in the next quarter?
Maurici Lucena Betriu: Thank you, Tobias. We couldn't follow you -- we couldn't follow your whole question completely. I understand you are referring to the second part of the year with respect to traffic guidance. If we are expecting an impact coming from the international markets. I think I could repeat the message shared by the Chairman at the beginning of the call. We are not at this moment in time, we are not changing the guidance providing back in Feb. The slowdown that we are seeing on the domestic market is something that we were anticipating. There are some drivers behind that slowdown related to specific domestic matters. So at this moment in time, that's what we can share with you. Of course, the company will follow what is happening internationally and if that may have an impact in the guidance [indiscernible] company. And if we decide to do it, we will share it with all of you.
Operator: And your next question comes from the line of Luis Prieto with Kepler.
Luis Prieto: I just had one question. And it is -- with 2026 target or guidance that you provided regarding international operations. I just wanted to know what the market is like at present for International opportunities, acquisitions or developments, whatever.
Maurici Lucena Betriu: Hello. This is Maurici Lucena speaking. I'll take this question. Well, I think that this is I mean when you compare the airport market in terms of M&A opportunities, I think that you -- and you compare it with other -- to other markets. I think that you reached the conclusion that it's not a very wide market. I mean, I think that you probably know many of the international opportunities exactly at the same time that they are sent to the Aena's team, I mean that they are usually well known. So Luis, the only thing I can say is that we analyze everything, every opportunity. Of course, naturally, we probably are we tend naturally to specific markets because of cultural and historical reasons. But believe me, we analyze everything. And I hope that after -- in my case, 7 years at the company, I hope that -- you all have crystal clear that we only move and we only propose, affirm, let's say, a firm offer when all the qualities or all the aspects of the opportunity are considered adequate by Aena, and it means the quality -- the intrinsic quality of the asset considered the country the regulation and, of course, very important, the price. And we could add as well that you know that our strong preference is control participation, airports in which Aena, taking into account its size and our reputation in airports in which we can control the management and the daily operation of the airport. So -- this is all that I can say. It's -- I think it's the same thing I always try to explain, but I hope that at least I have explained it a little bit different from -- compared to other occasions.
Operator: And your next question comes from the line of Cristian Nedelcu with UBS.
Cristian Nedelcu: The first one on domestic Spanish traffic on the slowdown, if I could please come back. Could you elaborate on the drivers behind this slowdown? And equally, I don't know if you could tell us a bit your views on the second half of next year in terms of domestic traffic or what's in your budget or how you're thinking about it directionally? Secondly, question on Duty-free. The Canaries variable rents have exceeded the mark for a while now. If I look at your Slide 32, it looks like in Q2, the other airports are not far from this either. So my question, could you give us a bit more color on Madrid, Barcelona when do you expect the variable rents to exceed the MAGs? Can this already be in Q3? And how you think about the next year's? And the last one, if I may, in the press, we are seeing plans for Aena building new terminals in a few airports. And I understand we are at an early stage, but just ballpark or directionally, could you help us think about the incremental airside space, that comes together with this new terminals. So from the Commercial point of view or incremental airside Commercial space versus the current space in the airports. Any color you could give us there?
Maurici Lucena Betriu: Christian, I just would like to partially answer your first question and partially because it will be complemented by Ignacio Let's, for a moment, just put aside Brazil on the U.K., I think that the evolution of the traffic in these countries is very good. I mean you just can review the figures, and we are happy with the evolution of the traffic growth there. So I now we'll focus on Spain. And the only thing I would like to say is that when we elaborated our forecast for the traffic growth in Spain for the whole year, we clearly expected what is at present happening. I mean we knew -- we didn't know exactly, but we forecasted that the beginning of the year would be quite strong. And because you know that we have the airlines planning, and we have a very competent team that follows everything that arises in terms of novelties regarding the evolution of traffic. And at that moment, when we elaborated our forecast, we also anticipated that the summer would be something similar to what we are witnessing. So we are not surprised at all. Of course, if you descend to the details, you could -- I mean, the precision, it's always questionable in the sense that, of course, we could anticipate the trends, but that is why I wanted to highlight to underline that we are still very comfortable with a traffic forecast for Spain for the whole year, that it's 3.4%. But Ignacio will complement my explanation.
Ignacio Castejón Hernández: Thank you, Maurici. Christian, I think the explanation from the Chairman has been very complete. I would only add some potential drivers that could be explaining what's happening, Christian, that I'm sure you are also aware. I think the slowdown that we are seeing is very likely a phase of stabilization following several years of strong traffic growth post-COVID recovery with respect to traffic -- domestic traffic. I think in 2023, we were already surpassing pre-COVID levels. So the comparison base was already very high back in 2023. If we look at cost prices in the Spanish market related to travel, tourism. What we are seeing is that there might be a situation in which prices are increasing in relative terms, more than more for the domestic services for domestic trips or domestic leisure more than international prices. And this could -- this might be one of the reasons for the impact. We are also seeing that the competition with respect to higher speed rail is intensifying. There are operators with lower prices in some of our routes. That may also be another thing to take into account. Finally, for domestic traffic, we are seeing some reorganization of fleets and domestic operations in some of our carriers, that are moving fleet and activity from one brand to another brand. And that might be affecting domestic traffic, while all those adjustments are -- all those adjustments are taking place. So it might be the result of all these -- the explanation behind. Most of these elements were taken into account, as explained by Maurici earlier when we're putting together our budget and our guidance, and let's see how the rest of the year evolves. But we are hopeful that we'll be able to meet the guidance. With respect to your second question, if I may, I will cover them very quickly because our goal, Christian, so that all of you can have -- can participate in the meeting was having just one question per house. I will cover your second and 3 questions very quickly. With respect to Duty-free, as you mentioned Canary, as we are above the minimum guarantee rents. And I would like to highlight that in the case of the South and the Mediterranean coast, we are very close to going beyond the minimum guarantee rents, taking into account, of course, the first 6 months numbers. With respect to other regions of the country, but the Baleares lot, the Majorca, de Palma lot has been impacted by the construction activities and the refurbishment of the airport. As I mentioned in my notes at the beginning of the call, June sales have been very positive. We have seen significant growth. So we should see there an improvement. And with respect to Madrid and Cataalonia, we have managed to finish most of the construction activity related to the duty-free activity there. So hopefully, in the next months, we'll have a better information with respect to our capacity to go beyond the MAGs in the rest of the years of the contract with our duty-free providers. On the DORA 3 construction activity, the company has been providing information through press releases about some of our projects. That's the only information that we can share so far. Basically, we have identified some of the main projects in some of the, I would say, the assets and very important assets for the company. And so far, that's the info that we can share with all of you, Christian.
Maurici Lucena Betriu: Yes. And Christian, I would -- concerning your second question, I would like to publicly recognized a very good job that new -- well, not that new, but the team that is around [ Javier Rossignol ], the current CEO of [indiscernible] of Dufry because I think he was appointed 3 years ago. And you know that Aena and Dufry had some important disagreements because we were very upset and very angry as well when they promoted the approval of the DFS7. So that was a hard moment. And it's true that the relationship with their Chairman has been always very cordial, very polite. But when [indiscernible] joined the company, it coincided with the preparation on Aena's side of the new tender. And we are very happy both with the proposal the proposals that they send to Aena, both in terms of design, of course, financial financially and et cetera, but they have demonstrated that apart from the strong growth of traffic that they are really taking advantage of all the spaces that they are working on at Aena. And I think it deserves a public recognition because they are doing a very good job. And of course, it's profitable, both for Aena and for [indiscernible].
Operator: And your next question comes from the line of Elodie Rall with JPMorgan.
Elodie Yvonne Daniele Rall: I'll have one on CapEx, if I may. So you announced EUR 427 million of extra CapEx for DORA 2. I think you had communicated already in the EUR 351 million regulated part. So what drove the additional CapEx that you've announced today to EUR 427 million? And could you give us also the phasing of this CapEx between now, I mean '25, the remaining of this year and '26 and where we should have our expectations for CapEx in total as well, if that's possible for the next 2 years?
Ignacio Castejón Hernández: Thank you, Elodie. This is Ignacio speaking. I think the amount is all part of the same CapEx analysis and assessment that was made earlier by the company. So some weeks ago, we disclosed the information related to the regulated CapEx because it was the most important piece. But as part of that amount, we were also taking into account that the company would also be executing unregulated CapEx in order to complement that related CapEx. In order to basically being able to deliver other projects that were necessary or a consequence of that regulated CapEx and also because of our regulation part of our CapEx is also unregulated because of the accounting rules or the regulatory rules of the company. So -- is not a change versus what we announced. It's just a complement of what we announced some weeks ago. Sorry for the confusion Elodie on that matter, if there was with respect to the phasing, I think given that we are in June, most of the phasing, of course, will happen during the last 1.5 years of DORA 2, as mentioned by the Chairman, and most of the CapEx execution work will happen in 2026, we'll see if we can deliver partially -- if we can partially deliver sign of those items through 2025 to the remaining months of this year.
Operator: And your next question comes from the line of Andrew Lobbenberg with Barclays.
Andrew Lobbenberg: I think I ask this every quarter, but is there any update that you can offer us on the status of negotiations with Luton with regard to the subsequent expansion?
Ignacio Castejón Hernández: Thanks. Andrew, this is Ignacio. And thank you for asking every quarter on this topic so that all of us can be coordinated. No real change to what we disclosed in the previous quarter. As you know, there was the possibility of having a judicial review taking place with respect to the DCO granted that judicial review will finally happen in the next months. We are still pending to receive some further information. And that's the only real change that I could share with you at this moment in time, Andrew.
Andrew Lobbenberg: So into the judicial review issue is clear, there's no negotiations to be done with the counsel? Or is that not right?
Ignacio Castejón Hernández: Is that this year review of the DCO granted by the Secretary Office of -- yes, by the Central Government. And I will be -- I understand that the timing in the 12 months, around in 12 months, there might be a hearing in order to analyze the [indiscernible], the information that we have with respect to Luton, there is a change with respect to what we disclosed last quarter.
Andrew Lobbenberg: Okay. So the whole thing draws out a bit more.
Ignacio Castejón Hernández: Could get delayed because of the judicial review. You are right.
Operator: And your next question comes from the line of Marcin Wojtal with Bank of America London.
Marcin Karol Wojtal: I'll have just one question. It's regarding DORA 3 process. So when are you expecting to submit your business plan with all the details of CapEx, tariffs and [indiscernible] and is that going to be -- or the key points are they going to be shared with the market?
Carlos Gallego: Well, clearly, according to the law, the last, let's say, milestone of this process will be the approval. In September 2026 coming from the, let's say, the cabinet -- the Spanish cabinet. So we have to run the consultation process with the airlines with the different inputs. And according to the law as well, our proposal has to be delivered in March 2026.
Operator: And your next question comes from the line of Dario Maglione with Exane.
Dario Maglione: Just one question. What is the latest assumption for the CapEx for DORA 3, when we include the regulated and nonregulated CapEx?
Maurici Lucena Betriu: Dario, your question was about the split between regulated and un regulated CapEx for DORA 3?
Dario Maglione: And the total amount as well.
Maurici Lucena Betriu: I think that at this moment in time, we are not disclosing that information Dario. I think that is information that we'll be providing once we have gone through all the analysis of DORA 3, that will take some months on our side that will still take some months from nour side -- May be lesser.
Operator: And your next question comes from the line of José Arroyas with Santander.
José Manuel Arroyas: I wanted to ask you about the tariff application for next year and your announcement earlier this morning. And the increase you are aiming for is EUR 0.68 per passenger. And as you clearly state the K factor from 2024 represents EUR 0.45 and there is another EUR 0.17 from the P factor that the CNMC recently approved. So that leaves about, if I'm right, EUR 0.06 per passenger that the press release does not break down for us. And I was curious if within this EUR 0.06 per pax, you may be recognizing your expectation that the next year's tariff reflect the P factor the [indiscernible] rejected in the last minute last year. Is this a fair assumption correct, incorrect?
Ignacio Castejón Hernández: José Arroyas, this is Ignacio speaking. It's not a fair assumption. In those other sense, we are taking into account quality, the B factor and other elements related to COVID and costs related to the border controls coming from previous years. So it's not again related to the topic that you were referring to.
Operator: And your final question comes from the line of Graham Hunt with Jefferies.
Graham Hunt: Just one on the VIP performance actually. I wondered if you could give a little bit more color there. It's been such a strong division for you within Commercial in terms of growth and growth per pax. I just wondered if you could speak to that where you're seeing that trending over the next -- into 2026 and maybe a little bit of color on how you're factoring it into your CapEx plans for the DORA 3 as well.
Ignacio Castejón Hernández: Graham, thank you for your question, and sure are really happy with the performance of this business line. I think what we have seen is basically revenue raising 36% year-on-year to EUR 95 million and also the income per passenger rising around 30%. So outstanding performance for the whole line around a bit more of 80% of that line is explained only by VIP lounges. And what we are seeing is that numbers of clients of users of these services are increasing materially at a much faster and higher growth rate than traffic. For example, number of users have increased around 18% in this first 6 months of 2025 compared to 2024. And also that this demand from our users is not impacted -- is not materially impacted by prices. So also the average ticket that we have been able to get from the business line is increasing. Simultaneously penetration rates are going up. I think we are slightly above 2%. And we are seeing this trend across all the VIP lounges of the company. So, this is something that we are taking into account. We are expanding in every single airport where we are -- there is room, and we see that there is demand, this activity, and that's what we are planning to do on the team, the commercial team is assessing as part of the DORA 3 future.
Operator: There's no further question at this time. I will now hand it over to Carlos Gallego for closing remarks. Carlos?
Carlos Gallego: Thank you, Mark. As there are no further questions, I think we can conclude the results presentation. Thank you very much for joining us today, and have a happy summer break, everyone who is taking some time off. Bye.
Operator: That concludes today's call. You may now disconnect.